Nico Muller: Welcome to the Webcast Presentation of our Results for the 6 Months Ended 31 December 2024. I am Nico Muller, the CEO of Implats. This presentation aims to provide a high-level overview of our group's performance over the financial year. Before we begin, I draw your attention to our normal disclosure statement pertaining to any forward-looking statements that may be made today. I also remind you that detailed commentary is available on our website. I will start today's presentation with an overview of the group's performance, including safety and key features. This will lead into a more detailed account of operational performance of the group presented by Patrick Morutlwa, our Chief Operating Officer; followed by our financial results presented by Meroonisha Kerber, our CFO; and then Sifiso Sibiya, our Group Executive for Refining and Marketing, will provide an overview of the PGM market before I finish off with our outlook for financial year 2024. Implats delivered strong production and commendable cost control despite navigating several serious operational challenges during the period. Safe production remains the group's foremost priority, and we remain committed to our goal of achieving zero harm to health and safety of employees and contractors. It is, therefore, with great sadness that 86 of our employees were involved in an accident associated with the personnel conveyance at Impala Rustenburg's 11 Shaft at the end of November. 13 employees lost their lives and a further 73 of our colleagues were injured in the incident. In addition, 3 employees lost their lives in separate accidents at our managed operations, bringing the group's reported fatalities to 16 in the period. We mourn the passing of our team members and extend our sincere condolences to the families, friends and colleagues. The results of the group's focus on continuous improvement in its safety performance are demonstrated in an 8.5% improvement in the lost-time injury frequency rates during the period, discounting the impact of the 11 Shaft event. Zero lost-time injuries were reported at Mimosa, and notable safety improvements were achieved at Zimplats, Two Rivers and Marula. However, the magnitude of the tragedy significantly impact most reported safety metrics. Implats is committed to building sustainable, self-sustaining and inclusive communities during and beyond mining while also ensuring the viability of the business in a depressed metals price environment. Delivery against social and labor plan commitments is being prioritized during this period of constrained profitability, which has impacted beyond compliance social spend. Implats' social performance framework is directed at 4 key focus areas: community well-being, education and skills development, enterprise and supply development as well as inclusive procurement and infrastructure development. Taken together, the group's social performance initiatives benefited more than 75,000 people and supported more than 4,000 employment opportunities during the period. The group again delivered an excellent environmental performance during the first half of financial year 2024. We met our targets for water recycling and improved our carbon emission and energy use intensities through using more renewable energy, specifically at Zimplats. Good progress was made on the 35-megawatt solar power project at Zimplats, while bankable feasibility studies for 30-megawatt solar project at Marula were also completed. Given the constrained operating environment, the group is assessing various financial options to implement the project, and Implats is currently reviewing power purchase agreements for solar and wind projects short-listed through its procurement program. Looking at the group's operational performance, production benefited from the maiden interim consolidation of Impala Bafokeng, but notable improvements were also achieved on a like-for-like basis at other operations. Impala Rustenburg and Zimplats anchored this outperformance, while Impala Canada was successfully rebased in the period.  Group 6E ounce production increased by 18% to 1.9 million ounces and was 3% higher, excluding the maiden interim contribution from Impala Bafokeng. Refined 6E ounce production increased by 19% to 1.75 million ounces and was 4% higher on a like-for-like basis as reduced load curtailment in the period provided welcome relief. The benefit of volume gains and cost containment was offset by inflationary pressure related to rand depreciation. And the inclusion of the Impala Bafokeng cost base saw group unit costs increasing by 5% at our managed operations. Spend on our growth, beneficiation and decarbonization projects accelerated in the period with a 38% increase in capital expenditure incurred. The material retracement in PGM pricing was the defining feature of the group's financial performance. The benefit of the 12% increase in 6E ounces sales volume of 1.7 million ounces was fully offset by the 32% decrease in the rand revenue basket, resulting in a 25% decline in revenue, while Implats delivered EBITDA of ZAR 8.4 billion at a 19% margin. We reported a ZAR 4.8 billion free cash outflow in the period skewed by negative working capital movements and once-off costs associated with the completing of the acquisition of RBPlat. No dividend has been declared. We closed the period with net cash of ZAR 5.2 billion. Meroonisha will expand in more detail later in the presentation. Precious metal pricing continues to be heavily influenced by the uncertain global macroeconomic outlook and simplistically, the outlook for U.S. interest rates. The decline in dollar pricing has taken place despite a still robust medium-term outlook for our primary products. Discounted metal flows from Russia and destocking by auto OEMs and industrial end users have caused pricing dislocation, a situation compounded by the impact of speculative flows in both platinum and palladium. While fundamental demand for our primary products remain robust, the current pricing profile requires a robust strategic response to ensure the long-term sustainability of the group. We have interrogated our planned capital profile with several projects earmarked for deferral. Impala Canada initiated a restructuring and repositioned the operation during the period. And there is significant focus on the strategic options available to protect value at Impala Bafokeng. While many group operations remain sustainable and profitable at the current depressed prices, several further actions may be necessary to ensure business sustainability in the medium term. Operating strategies are being evaluated at all operations. Our employees are the foundation of our business, and we will thoroughly engage with all stakeholders, and all optimization processes will be advanced with the due care and sensitivity. Patrick will now take you through the operational review.
Patrick Morutlwa: Thank you, Nico. Production metrics benefited from the maiden interim consolidation of Impala Bafokeng, but notable gains were achieved on a like-for-like basis despite several serious operational challenges. A step change in operating momentum at Impala Rustenburg together with strong production at Zimplats helped counter lower throughput at Marula and Impala Bafokeng. Production from our managed operations rose 28% and was 7% higher on a like-for-like basis, excluding the ounces from Impala Bafokeng. Volumes at our JV operations at Mimosa and Two Rivers improved 2%. Two long-term IRS contracts concluded in the prior period, and the base effect resulted, as expected, in a 33% decline in third-party receipts. As a result, our total 6E production volumes increased by 18% to 1.9 million ounces. Capacity at our processing operations benefited from reduced load curtailment performing well despite the planned rebuild of our Number 5 furnace. Including salable ounces from Impala Canada and Impala Bafokeng, group refined volumes increased by 19% to 1.8 million ounces. Unit costs benefited from volume gains and cost containment, which helped counter the impact of group mining inflation of 5.6% as well as the impact of the translation of the dollar cost base of Impala Canada and Zimplats at a weaker exchange rate. As a result, unit costs increased by 5% to ZAR 20,334 per stock adjusted ounce. Our capital expenditure will increase with the accelerated investment in replacement and growth projects, the impact of the rand depreciation on spend in Zimbabwe and Canada and the inclusion of Impala Bafokeng. Turning to the specific contribution from the different operations. Operating momentum at Marula was impacted by safety stoppages following a fatal accident and industrial action, resulting in a 12% decline in production. Impala Canada repositioned and prioritized higher-grade underground mining blocks, which offset lower milled volumes and enabled stable production. At Mimosa, 6E concentrate volumes increased by 2%. Processing and plant stability improved and offset the impact of lower grade due to poor ground conditions. Two Rivers recorded a 3% increase in 6E concentrate production. Better grade and recoveries helped counter the constrained mining environment on the UG2 workings. Zimplats benefited from a full period of increased milling capacity and delivered a 9% increase in 6E met production. Impala Rustenburg increased production by 11% to a 5-year high despite the loss of an estimated 30,000 ounces due to the 11 Shaft accident with pleasing gains at our growth shafts. A maiden interim consolidated contribution of 254,060 ounces in concentrate from Impala Bafokeng was recorded, negatively impacted by safety stoppages and industrial action. Today, we published our maiden resource and reserve statement for Impala Bafokeng showing a significant positive impact on the group's attributable mineral resources and mineral reserves, which increased by 28% and 21%, respectively. The average depth grade and amenability to mechanization of our mineral inventory has also improved. Following the continued retracement of rand PGM pricing in 2023, a full review of capital expenditure was undertaken to trigger cash preservation and ensure positive free cash flow generation at each of our producing assets. The group is focused on ensuring residual capital is spent on addressing safety and regulatory requirements, ensuring asset integrity and advancing our strategic objectives. A further review of near- and medium-term capital expenditure is now underway at the group. Meroonisha Kerber will now outline the group's financial performance for the year.
Meroonisha Kerber: Thank you, Patrick. Weaker PGM pricing was the defining feature of the group's financial performance in the period. Performance was negatively impacted by the combination of the retracement in U.S. dollar PGM pricing, which more than offset the positive impact of a notable gain in sales volumes, and a weaker rand, resulting in materially lower reported revenue; the maiden interim consolidation of the cost base of Impala Bafokeng, together with several once-off costs incurred on the conclusion of the RBPlat acquisition; mining inflation of 5.6%, which though moderating from the prior period, was compounded by the translation of the dollar cost base of Impala Canada and Zimplats at a weaker exchange rate, offsetting to some extent, the benefit of lower royalties and the cost of metals purchased. In addition, we need to highlight the impairments associated with Impala Canada and our interest in the Two Rivers joint venture. The effective tax rate for the period was lowered by a deferred tax credit at Zimplats, which was partially offset by a change in the corporate tax rate in Zimbabwe. Collectively, these factors resulted in a decline in EBITDA to ZAR 8.4 billion and both lower basic and headline earnings of ZAR 1.80 and ZAR 3.65 per share, respectively. Group stock adjusted unit costs increased by 5% or ZAR 988 per 6E ounce. Group mining inflation of 5.6% at our managed operations contributed ZAR 1,045 per ounce, while the translation of the dollar cost base of Impala Canada and Zimplats at a weaker exchange rate contributed a further 2% or ZAR 380 per ounce. Impala Bafokeng's consolidation resulted in an ZAR 818 per ounce increase in reported unit costs with PGM in concentrate production as adjusted for offtake terms in the calculation of group unit costs. These increases were partially offset by the benefit of volume gains and a discretionary employee bonus payment in the prior period, which did not recur. On a like-for-like basis, normalized unit costs, excluding Impala Bafokeng and the benefit of the employee payment, rose by just 3% to ZAR 19,516 per ounce. Maintaining an optimal capital structure and a strong and flexible balance sheet through the cycle remains a key strategic priority for Implats. Cash generation was constrained by weak pricing, significant transaction-related costs on the RBPlat acquisition, elevated capital expenditure and several working capital adjustments relating to the timing of payment and accumulation of in-process inventory. Capital expenditure increased by 38% as spend on our replacement and expansion projects accelerated and CapEx at our Canadian and Zimbabwean operations were impacted by rand depreciation. Dividend payments of ZAR 1.8 billion were made during the period to both Implats shareholders and to the minority shareholders of Zimplats and Impala Chrome. ZAR 11.4 billion was spent on the acquisition of RBPlat equity during the period, with a further ZAR 943 million incurred on acquisition-related costs, particularly related to the share incentive schemes. After accounting for the PIC housing loan and the gold stream at Impala Bafokeng, Implats closed the period with net cash of ZAR 5.2 billion. Our committed RCF facility of ZAR 6.5 billion and $94 million remain undrawn at year-end, resulting in closing liquidity headroom of ZAR 16.7 billion. Our capital allocation framework aims to deliver, sustain and grow meaningful value for all our stakeholders. As a reminder, we adjust free cash flow in each period for nondiscretionary outflows and add back expansion capital. We then allocate the resulting free cash across 3 broad pillars of balance sheet strength, growth and investment and shareholder returns. The group realized an adjusted free cash outflow of ZAR 3.1 billion in the period. No interim dividend was declared in line with the group's dividend policy, which is premised on returning a minimum of adjusted free cash flow pre-growth capital. Sifiso will now discuss the PGM market.
Sifiso Sibiya: Thank you, Meroonisha. Lackluster primary production and softer unexpected secondary supplies resulted in tighter-than-expected PGM markets in 2023 despite the disappointing pricing over the period. Deficits in the platinum, palladium and rhodium markets are estimated at 741,000, 1.4 million and 96,000 ounces, respectively. In 2024, all 3 major PGM markets are likely to remain in deficit, but our forecast market shortfalls are expected to moderate from those we witnessed in 2023. This is on the back of automotive production growth, which is expected to moderate, and industrial demand, which is expected to ease marginally as capacity expansions slow. Conversely, we expect rising supply primarily from a modest recovery in auto catalyst scrap, with primary supply in South Africa vulnerable to weak PGM pricing and Nornickel guiding lower production. Despite the growing industrial demand and improved vehicles, we saw in 2023, significant pricing dislocations were caused by industrial and automotive end users destocking portions of their PGM inventory as well as metal discounting as trade flows shifted from West to East. Negative precious metal investor sentiment and speculative positioning amplified these factors and witnessed a material retracement in palladium and rhodium pricing. Looking now at some of the specific demand trends in 2023 and the outlook for 2024. The global light vehicle market delivered significant volume improvements in 2023 versus 2022, boosted by pent-up demand and fading supplier constraints as semiconductor shortages eased. In 2024, markets that were previously impeded by a lack of vehicle availability will now reflect underlying demand drivers with inventory levels approaching more normal levels and consumer requirements dictating sales volumes. In total, global data expects light vehicle sales growth of 3% in 2024 and 4% in 2025. Production, which increased by 10% in 2023, is expected to rise by only 1% in 2024 and 3% in 2025. An emerging theme in the final months of 2023 was slowing sales growth in battery electric vehicles despite a record number of units being delivered during the year. Growth in aggregate electrified vehicles is now faster than for BEVs with various types of hybrid electric vehicles gaining notable sales traction. BEVs suffer from poor affordability in mature markets and an inadequate public charging infrastructure, which deters buyers. In many European markets and the U.S., the BEV early adopter phase is waning. And future growth will be determined by practical considerations, most notably, affordability and convenience. Having surprised positively in 2023, PGM automotive demand is set to ease in 2024 with limited forecast light vehicle production growth skewed to BEVs and continued efforts to thrift loadings between emission stages underway in both LV and heavy-duty vehicle markets. Platinum industrial demand was stable in 2023, benefiting from resilient glass and chemical demand. Industrial demand for palladium continues to exhibit greater price elasticity than for platinum or rhodium with easing chemical offtake during the year compounded by weaker electronic demand. Rhodium industrial demand was negatively impacted by weak glass demand in 2022 and 2023 as alloys were adjusted on change-outs to higher platinum content in response to record pricing. Platinum jewelry demand decreased in 2023 on a further contraction in the Chinese jewelry market due to soft consumer sentiment, competition from gold and a rundown in retail and manufacturer stocks, which offset better-than-expected demand elsewhere. The post-COVID recovery in jewelry demand is now largely complete, and a modest recovery in Chinese demand is expected in 2024, albeit off a base of approximately 50% of pre-pandemic levels. Western demand is likely to be largely stable, and India is set to deliver double-digit growth in the medium term. Turning to supply. The significant retracement in PGM pricing over 2023 has placed considerable pressure on South Africa and North American producer economics. Capital expenditure, which was set to peak across the industry in 2023 and 2024, has been scaled back. Implats retains its assertion that previously planned CapEx was primarily aimed at improving asset integrity and environmental performance and that the limited project profile served as a replacement rather than growth off the existing asset base. Current PGM pricing will induce further supply rationalization with primary supply now set to decline in the medium term as a result. Secondary supply of PGMs contracted again in 2023 as auto sales remained weak and scrappage rates were reduced. In addition, the cost and complexity of collecting, funding and transporting spent catalyst material remains high. Some recovery in secondary supply is expected in the short term with meaningful potential medium-term growth from the rising pool of metal accumulating from the Chinese light-duty fleet. While some residual downside risks to near-term demand are presented by the uncertain macroeconomic outlook, changes in the supply outlook are likely to be more material in driving sentiment, market liquidity and hence, price in the medium term. Nico will now conclude this presentation.
Nico Muller: Thank you, Sifiso. PGM pricing has been negatively impacted by a confluence of factors that look set to persist in the medium term. We expect 2024 to be a difficult year characterized by anemic precious metal consumer and investor sentiment as economic and geopolitical uncertainty linger. The group has benefited from some easing in input pricing escalation. However, inflationary pressures on operating and capital costs have persisted. Individual operational responses continue to evolve, and a comprehensive review of medium-term capital expenditure and planned production profiles has been initiated and implemented with steps taken to preserve cash balances and secure positive free cash flow. Impala Canada is being repositioned with capital projects deferred and halted at Marula and Mimosa in the period. There is a significant focus on realizing value at Impala Bafokeng, and we continue to work closely with our joint venture partner at Two Rivers to ensure delivery of the Merensky growth project and the required step change in mining performances at UG2 operations. Impala Rustenburg delivered exceptional results and generated free cash flow in the period, but medium-term production and capital investment plans are being carefully considered in response to the downturn in PGM pricing. Group production for the full year will be supported by strong delivery at Impala Rustenburg and Zimplats, countering the impact of headwinds faced at Marula, Impala Bafokeng and Two Rivers in the first half of the year and further supported by the changed operating parameters at Impala Canada. Implats' processing performance has benefited from reduced load curtailment. And despite the scheduled smelter rebuild underway, Implats is pleased to reiterate previously provided production and cost guidance for financial year 2024 while trimming the outlook for capital expenditure despite a weaker assumed rand exchange rate. This concludes our results presentation. Thank you for taking the time to listen to this webcast.
End of Q&A: